Operator: Greetings, and welcome to the Astronics Corporation First Quarter Fiscal Year 2021 Financial Results Call. [Operator Instructions] It is now my pleasure to introduce Deborah Pawlowski, Advisor, Investor Relation. Thank you. You may begin.
Debbie Pawlowski: Thank you Darrel, and good morning everyone. We appreciate your time today and your interest in Astronics. I have here with me Peter Gundermann, our Chairman, President and CEO and Dave Burney, our Chief Financial Officer. We should have a copy of the first quarter financial results that were released this morning and if not, you can find them on our website at Astronics.com. Let me mention that we may make some forward-looking statements during the formal discussion as well as during the Q&A session. These statements apply to future events, that are subject to risks and uncertainties as well as other factors that could cause actual results to differ materially from what is stated here today. These risks and uncertainties and other factors are provided in our earnings release as well as with other documents filed with the Securities and Exchange Commission. These documents can be found on our website or at SEC.GOV. During today's call, we will also discuss some non-GAAP financial measures. We believe that these will be useful in evaluating our performance. You should not consider the presentation of this additional information in isolation or as a substitute for results in accordance with GAAP. We have provided reconciliations of non-GAAP financial measures with comparable GAAP measures in the tables that accompany today's release. With that, I'll turn it over to Pete. To begin, Peter.
Peter Gundermann: Thank you Debbie, and good morning everybody. Thanks for tuning into our call. I'm going to open the conversation here with a high level summary of our first quarter and an outlook for our markets and turn it over to Dave for a more detailed financial summary and a review of our banking arrangements and then we'll close with questions and answer as usual. When I look at the first quarter, to me there are, kind of two headlines, one is that we had obviously low sales by historical norms, not a real surprise there given the ongoing effects of the pandemic and where we are in the recovery cycle, the second headline looks more positive and that is that bookings have been showing steady and consistent improvements over the last few quarters and we're going to dive into that in a little bit more detail. Specifically, the relationship in our company between bookings and shipments, which we think, it tends to be pretty strong and pretty close, especially given the way that we measure bookings and we talk about them pretty regularly in our quarterly reports and in these calls. In our business, there's generally a two to three quarter lag between bookings and shipments. In other words, bookings today influence shipments, two to three quarters out, or look at the other way shipments today, are heavily influenced by bookings two or three quarters ago. We just finished the quarter with revenue of $105 million, again, very low by historical norms. You've got to go back to like 2013 to find that level consistently and it's no coincidence, in our view that bookings two to three quarters ago were anemic and highly influenced by the onset of the pandemic at that time. I'm talking about the second quarter of 2020 and the third quarter of 2020 specifically. Our bookings in the second quarter if you were to look back, we're totaled about $61 million on a consolidated basis for the company and in Q3 last year, $82 million, so on average of $72 million, that compares to a quarterly average in 2019 of $176 million on average in 2019, which was actually not a very strong booking year for us for a number of other reasons, for the $176 million average dropping to $72 million in the second and third quarter average of last year, is obviously a substantial drop. The good news is that bookings since then, have shown a pretty good come back, pretty solid come back. Our fourth quarter last year was $116 million and our first quarter, the one just completed, was $120 million. So on that two-quarter period or six-month period, we averaged $118 million in bookings per quarter. So we've bounced up from $72 million on average in the second and third quarter last year to a $118 million in the fourth quarter and the first quarter this year, really good progress. Looking at the segments. Most of the improvement is on the aerospace side. If you look at our quarters consecutively, and these numbers are spelled out on the table on the last page of the press release. Since the second quarter last year, bookings have gone from $43 million, to $65 million, to $74 million, to a $100 million. That's just aerospace bookings. Now $100 million, that progress, if you look at it on percentage terms, can look pretty good. But, of course, in 2019, our aerospace quarterly average was about $160 million. So even at our first quarter level of a $100 million, we're still a pretty far ways off from where we were in pre-pandemic times when we were averaging about $160 million in Aerospace bookings per quarter. So what's driving the improvement? If you look into our Aerospace group, most of you know this, we have two smaller business units and one larger one. The two smaller ones are military aircraft and what we call business jet or general aviation, and both of those tend to be in pretty good shape. Pre-pandemic, they were about - each about 10% of our total business, and we expect them to be at higher percentage this year in part or largely due to the lower expectations for commercial transport, which I'll get to in a minute. I'm not going to take everybody through the different dynamics in military aircraft, in general aviation, most of the people who follow our company, follow the industry and you're probably well aware that military aircraft has been largely unaffected by COVID, certainly no demand effect, and if anything business jet demand has bounced back strongly, which we expect will result in increasing unit demand as time goes on here and that's important to us because most of our business jet sales, are line fit and not aftermarket, so production rates are important. So long story short, if you look at aerospace, military aircraft, and business jets are both in relatively good shape. The commercial transport side is the big issue. Again, no real news here. In the quarter just finished we had commercial transport sales of $38 million, which was down from $103 in first quarter of 2020 and that's a significant drop. We are encouraged however, by the narrow body side where domestic flying is increasing dramatically where and when the pandemic is under control. Recognizing the wide body remains under significant pressure, so a reasonable question might be, what is our split between narrow bodies and wide bodies historically and how are we positioned for today's world where a narrow bodies are expected to recover relatively soon and wide bodies may lag quite a bit. And these are numbers that we have not typically talked a whole lot about in this setting, but we've done some analysis to nail this down and it might seem like an obvious thing, but actually the way our business is structured, it's not always obvious where our products end up. So it's been a little bit of an effort, but the safe way to think about our business up to today is that, our commercial transport business has almost a 50-50 split, between narrow bodies and wide bodies. And also if you cut it a different way, almost a 50-50 split between line fit and aftermarket I don't think I said that very clearly, both the narrow-body and the wide-body revenue that we have a split almost 50-50 line fit and aftermarket. So you can almost think of our commercial transport business if you picture a 2 by 2 matrix with wide body on one-axis and wide-body, narrow-body on one-axis and line for the aftermarket on the other axis it's almost 25% of our commercial transport volume in each bar. And again our perspective, not different from the conventional wisdom that's out there in the industry right now is that wide-body line fit and the aftermarket is under pressure and will remain under pressure until international travel picks up and we're hopeful for that to happen at least between the rich countries over the world where vaccines are likely to get pandemics under control. And we hope to see some progress for that as 2021 goes on. But on the narrow body side, things are looking more promising. Everybody in North America is aware of the increasing flights and load factors and crowds generally gathering at airports every day for domestic flying. It's another example how, when and where the pandemic is under control, people want to fly. The two geographies in the world where this is most evident are in China and the US and we hope, and expect that Continental Europe will be in that camp sooner rather than later. That supports the aftermarket. Flying supports the aftermarket. And production rates also are trending up on the narrow-body side as most people know, including especially for us the 737 MAX. We, the MAX, back in 2019 was our biggest single aircraft production program and it is picking back up, although still at a slow rate. We were shipping at a volume or rate of about five or six aircraft per month in the first quarter and we expect that to rise to over 20 in the fourth quarter, based on the best understanding we have right now of the production line expectations in Seattle. So that talks a lot about aerospace. Again, pretty solid expectations for military, and business jet, and reason to be optimistic on the narrows body side for commercial transport, that 50-50 narrow body, wide body split, we would expect by the end of this year to look quite a bit different, skewed towards the side of the narrow-bodies with increased flights that are happening now and increased production rates up for the 737 MAX, and also potentially for the A320 line in Europe. Flipping over to the Test side and I can say a whole lot about Test today. That Test has done well through the pandemic in terms of bookings and shipments. Shipments in the last four quarters were to $91 million Volume up about 15% and bookings for the last four quarters were $96 million for a positive book to bill of 1.06. So our expectation for the Test side of the business remains strong. It's a combination of municipal government spending, potentially the beneficiary of some of the stimulus efforts underway in DC. These days, and also a large element of defense spending, which has been strong. We expect we will continue to be strong over the coming year. I'll pause here for now, and turn it over to Dave to talk through our financial statements, Adjusted EBITDA levels, bank covenants,, et cetera. Dave.
David Burney: Thanks, Pete. First quarter sales were as expected, soft and only about $105 million down $51 million from the first quarter of 2020. This was no surprise and was about where we forecast sales to be in our last earnings call reflecting the low order intake that Pete had mentioned for particularly on commercial transport market quarters. Sales of commercial transport market were $38.2 million, down $64.6 million or 62.8% compared to the 2020 first quarter, illustrating that drop. Our GAAP loss, Net loss for the quarter was up $11.9 million driven by the low sales level. As expected, the slow sales, level sales, we are not profitable at this low level of sales, generating an operating loss of $5 million and a slight adjusted EBITDA loss of $500,000. As we have discussed on previous calls, we do not expect that this will be our long-term sales level, and as such have not structured the company to be profitable at this low sales level, if we did expect sales to continue at this level, we clearly would adjust our cost structure and investment strategy, we've continued to invest in product development and win new programs requiring investment to ensure we're well positioned for the post-pandemic world. Turning to the segments, sales continue to be low in the Aerospace segment, resulting in segment operating loss of $5.6 million and sales of $59.7 million, which were down 42% from the first quarter of 2020. As has been the story for the past four quarters, the drop is primarily related to the effect the pandemic has had on the commercial transport market. Our Test Systems segment continues to operate steadily. Sales were $24.4 million, up 64% from the 2020 first quarter. If you exclude semi-conductor Test sales from the prior year. Test segment operating margin was 1.2 where operating income was $1.2 million or 4.9% of sales. Margins in this segment were compressed a bit by legal fees relating to an infringement claim. Switching to cash flows, our cash flow from operations was a negative $6.9 million, driven primarily by increased receivables and decrease in accounts payable. Inventory levels were down slightly from the fourth quarter. Also, I should note, as we mentioned in the press release that we were recently notified by the acquirer of our semi-conductor business that they've recalculated the earn out due to us. Originally they calculated the earn out to be $10.7 million and subsequently revised the calculation indicating that the new calculation is $7.1 million. We're reviewing the calculations and underlying information and expect to record again when that review is complete and the issue resolved. The cash we received will count toward our adjusted EBITDA under our earn out agreement for covenant purposes. And we expect to remain compliant with our debt covenants without the income that will be generated from this gain. To recap our amended credit facility, we amended it in May of 2020. The credit facility matures in February of 2023. It's a $375 million revolving credit facility with a couple of key financial covenants. A maximum leverage covenant that was in the original pre-amendment facility was waived until Q3 of 2021, referred to as the suspension period. Then beginning in Q3 of 2021, this begins phasing in, starting at six times adjusted EBITDA as defined in the agreement. Then, decreasing to 5.5 times in the fourth quarter followed by 4.5 times in the Q1 of 2022 and then down to 3.75 times thereafter. It's important to note that, adjusted EBITDA as it's defined in the credit agreement allows for add-backs of non-cash expenses that typically are shown as non-cash items on the statement of cash flows. Adjusted EBITDA as defined in the credit agreement was $2.4 million for the first quarter of 2021 and $22.8 million for the trailing four quarters. There's two key financial covenant during the suspension period a minimum liquidity and a minimum interest coverage ratio, which we are both compliant with and expect to continue to be compliant with through the suspension period. Other covenants include a temporary restriction on the acquisitions, share repurchases, and dividends. And as far as the pricing of the revolver. The high end of the pricing grid is LIBOR plus 225 basis points, at leverage above four times adjusted EBITDA with a LIBOR floor of a 100 basis points. So, currently the interest rate on the revolvers 3.25%. Our outstanding balance on the facility at the end of the first quarter was $173 million, flat with the December 31st, drawn balance on a net debt basis, which is what our debt covenants are considered, we were at $142.6 million compared with $132.3 million at the end of 2020, which was an increase in net debt of $10.6 million. That's all I have, Pete.
Peter Gundermann: Thanks Dave. Looking ahead, normally we're in the practice of providing and maintaining revenue guidance, top line guidance over the current calendar year. But we suspended that like many companies as the pandemic took hold and we are still maintaining that approach. We believe that, based on the conversation that I gave earlier. Second quarter bookings here will be material on terms of how we end of the year and we obviously don't know exactly how second quarter bookings are going to turn out. We're hoping that, when we announced second quarter results, which will be in early August, we will have enough insight to give a window as to how we expect the year to shape out. But in general, we have a picture of building revenue sequentially as the year progresses. Assuming bookings cooperate and kind of come in as we expect or hope. That being said, we do believe the second quarter revenues will be in the neighborhood of $115 million, there's upside potential to that number. And of course I suppose downside potential too, but we think that's a safe number to look at from today's perspective given that we are one third of the way through the second quarter. So I think that concludes our prepared remarks. Darrel, if there are questions, let's have those now.
Operator: [Operator Instructions] Our first question comes from the line of Ken Herbert with Canaccord Genuity. Please proceed with your questions.
Ken Herbert: On the Aerospace sales in the quarter, you had a sequential step down from the fourth quarter about roughly $10 million, but it looks like the guidance implies roughly sort of that $10 million sequential step up from the first to the second quarter in Aerospace sales. Can you just provide a little bit more color on the, on the first quarter and the step down and then, expectations for that roughly sort of $10 million sequential step up into the second quarter, is that in line with your thinking as we think about the guidance for the second quarter?
Peter Gundermann: That is in line for us to have revenue growth over the next three quarters. And most of it's going to come from commercial transport sales or aerospace sales but commercial transport specifically. As for the step down from the fourth quarter to the first quarter, there are a couple of things going on there. One thing that's going on is that, you book a bunch of orders and they're not always tightened smoothly. So you can have just lump sum expected delivery schedules. But the other thing that is a realistic factor in the fourth quarter, we were holding customers to previously established delivery dates even maybe when they wanted to slight amount in some cases,. We had the inventory, we had to built, We had a schedule, which we agreed to. So that's one of the things that was kind of going on through the whole industry in terms of the whole de-stocking phase. We took inventory that we would probably have preferred, not to, and so that our customers so that made the fourth quarter, perhaps look a little bit stronger than it would have been under different circumstances.
Ken Herbert: And the bookings strength in aerospace sequentially from the fourth quarter to first quarter. Can you provide any more detail around that? Was it aftermarket. I think if you're after market Good businesses, maybe a little bit more book and ship in the OE business. But how would you - can you provide any more color on the sequential growth in the bookings in the first quarter In Aerospace?
Peter Gundermann: I would say it was a kind of across the board, not so much on the wide body side but on the narrow body side. Business jets, a relatively steady although we do tend to get from that would have been more of a first quarter phenomenon where major customers like Textron will load their production rates and issue orders accordingly. As the year begins, but a big part of the improvement has been narrow-body, both line fit, and aftermarket. I mean, our sales guys are consistently saying that the level of activity in interest, not only in North America but around the world has picked up dramatically, whereas things were kind of debt as a door nail in terms of discussions that typically lead to orders in the last summer and even into the fall. They picked up pretty dramatically as the year turn, then as vaccines got closer. So, a lot of the increase in bookings has been commercial transport related, has been narrow-body related and we're hopeful that that continues.
Ken Herbert: And then just one final question. Dave, I mean I think when you put the agreement in place with the credit agreement last year you probably didn't expect to be maybe as cutting as close on the six x leverage in the third quarter as you could be. I mean you should be well on the range. Assuming a nice sequential increase in the EBITDA End of the second and third quarter. But do you feel the need or should we expect maybe some changes to the agreements Just to give yourself a little bit more breathing room or is that something that you're not contemplating?
David Burney: We're going to keep our eye on that. You're right, when we put the agreement in place back in, in the first quarter of largely in the first quarter of last year. I think it was finalized in May, we certainly expected a quicker recovery based on the information we had back then and the recoveries dragged you know three, four, five, six quarters longer, if you look at the global commercial transport business in the wide-body business. So yes, we are cutting it closer than what we expected when we put it in place and it's something we have to have to keep our eye on and we have ongoing dialog with our bank group and we'll will keep our eye on that and if that's something we need to go to. We'll take a look at that, but right now we're not forecasting to be in violation of the covenants
Operator: Our next question comes from the line of Michael Ciarmoli with Truist Securities. Please proceed with your question.
Michael Ciarmoli: Thanks for taking the questions. More than maybe just to stay on Ken's questioning there with the leverage in the credit, $115 million in revenue in 2Q doesn't seem like you'll be able to be profitable, what's - I think you had said previously 125 with sort of the break-even point and if I think about that 6 times leverage, is there going to be any cash generation or anything else that changes that net debt? I mean, it would seem like that third quarter EBITDA generation would have to be materially strong.
David Burney: Yes. If you look at just our the traditional EBITDA numbers. Q1, we had a $500,000 or even though a lot $105 million in sales a low margins that we're typically get from sales growth. It is 40 percent-ish depending on the mix. So we are expected to generate positive cash flow over the next 3 quarters. Our CapEx expectation is around $10 million this year $10 million to $11 million. So we are expecting to generate positive cash flow to continue to pay down debt also not included in there is any gain relating to the Advantest earn out on the sale of semi business. So, and there are other levers that could be pulled in the credit agreement. For example, there's an opportunity if we decide to exclude a certain level of legal related costs on a onetime basis we haven't pulled that lever. So I think we are, again, we are forecasting, it's going to be closer than we expected, but there is some potential upside to, I think depending on which direction, the commercial transport business goes over the next couple of quarters.
Michael Ciarmoli: Pete, what are you hearing from airline customers. I know, you kind of said the bookings were pretty diversified across the Board, but are you seeing the restart of retrofit campaigns, I think it was United maybe said they're kind of proceeding, but what sort of the buzz, you're hearing from the airlines? As they look to modernize and commonize those cabins?
Peter Gundermann: It's positive Michael, especially in North America and China, where there's a lot of interest in updating IFE and interiors and adding new amenities interestingly enough. One of the interesting phenomenon also is that, whereas we have viewed the narrow body world, primarily as a wireless Wi-Fi kind of world. There is renewed interest, it seems among the airlines for seat back display. We'll see how that plays out but that's a higher level of investment in IFE then that we might have expected today. In North America, in China very solid, very mature discussions and in some cases airlines deciding to pull things in because they see heavy levels of demand right around the corner. In other parts of the world, it's usually a step behind and it's remarkable but they may be not surprising I guess. In those areas where the pandemic is under control or where it's expected to be under control, the airlines are moving ahead with customer amenities especially on the narrow body side and if and when we get travel bubbles or something of that sort between say US and Europe or Europe and China. We think there's going to be a bit of a pickup in light body also.
Michael Ciarmoli: Okay.
Peter Gundermann: It's going in the right direction for sure.
Michael Ciarmoli: Okay, got it. Last one for me. Can you just talk maybe about your supply chain, are you seeing any tightness on the electronics side, that are critical to your product offerings. And then similarly, what about input cost, raw materials. What are you seeing there. And are you able to pass those through to your customers?
Peter Gundermann: Yes, very good questions and it's an emerging picture. Over the last month or so, I guess, we would say that we have become more and more confronted by part shortages or lead time stretches. Not so much pricing differences at this point. But - and no shortages or lead-time effects that are materially affecting our outlook. It is not factored into our revenue expectations at this point, but it's definitely something we're watching. It seems like the world shrunk down a little bit and certain parts of the economy in the demand picture got really hot really quickly and suppliers are unprepared. So we'll see if that demand persists and what the responses among the supply chains but I would call it a watch item right now. I wouldn't call it a crisis necessarily, not yet.
Operator: Our next question comes from the line of Jon Tanwanteng with CJS Securities. Please proceed with your question.
Jon Tanwanteng: Thank you for taking the questions and nice to see the order improvement. To continue on that trend. I'm just wondering what the orders look like in April and May and if you saw improvement sequentially month by month or for the railroad, this similar just how you're seeing their early progress in Q2?
Peter Gundermann: Q2,so far is essentially maintaining that pace of Q1 but one month we don't get too excited about plus or minus. So, we certainly aren't seeing a drop-off, we're happy about that but it's too early to draw big conclusions about the second quarter is a long ways to go but so far so good.
Jon Tanwanteng: And then just in a 115 guidance for Q2, do you have a breakdown and how much do you think Test will be versus Aerospace.?
Peter Gundermann: This is working something up. I'm with a faulty computer today, so I don't have a number for you, but...
David Burney: It's about 24 million Tests.
Jon Tanwanteng: And then Dave just for you on the incremental EBITDA, you mentioned 40% is a good bogey but are there any puts and takes to that? Has the revenue increases and you start layering back cost that maybe you've cut in the past year and how should we think about? At what BravePoint's do those come back in place?
David Burney: Well, I said, probably the most significant one is, we have already provided rate annual raises to most employees here. So this is happening but I think kind of the big thing and many of our employees are asking about is our 401K match. Where that's at the highest end of our priority to reinstate our 401K Company contribution there and we're going to watch the development of the cash flow generation in the bottom line and probably make a first quarter call on that in terms of 401K match and that's what fully, I'm going to say it could be up to a $5 million or $6 million number. If we go back to the match that we had prior to the pandemic, but right now we're not anticipating any kind of layering in much in the way of adding head count or anything like that.
Jon Tanwanteng: Okay, great, that's helpful, Pete you didn't spend much time on Test, but there has been, you talked in the past about the potential for several more large rail projects in the future. And obviously the environment. Just for the A&D side of it is has been positive. Just talk about your outlook for that if there's maybe something in the pipeline that's attractive or if there's any changes in the environment from the government side?
Peter Gundermann: Yes, I didn't talk about it much Jon, because it hasn't changed much since the last quarter. We do have some high value targets in front of us, we think on the rail side, on the transit side, that we're pursuing. Some of those efforts have been slowed by COVID not necessarily because of funding constraints, but because people simply aren't in the office and that's slowed some of those things down but there is still out there the funding remains in place. In fact, if anything, the funding picture has perhaps improved based on the investment priorities of the Biden administration in DC, and that's true also of some of the radio test markets that we serve, especially for municipalities and police forces, first responders, things like that. Municipalities have been stressed during the pandemic, and that's one area where we think there has been a little bit of a pullback in terms of expenditures. So we're hoping that market turns a little more profitable and we do have some continued positive prospects in our traditional defense, and aerospace markets, and so together our Test business is more subject to Big Gulp. So a lot of big gulps of orders relative to our aerospace business especially for its size in relation to its size. So we are optimistic that our revenue performance from last year in terms of growth can be continued this year and there is a potential for a very strong booking year, as we get more and more into the year, it's unclear how those strong bookings might affect short-term revenue those take time to convert. But overall, it's a pretty optimistic picture.
Jon Tanwanteng: Sure. Great, thanks for that. If I could slip in one more, just any update on the timelines antenna business and how demand there is trying to, given the business jets, and have been doing well?
Peter Gundermann: We hear good things. As you know we're teams at this point with Collins Aerospace and they seem to have done a really good job putting together a team of partners of which we are one, and I don't have specific numbers in front of me, but I can tell you that they are trying to pull things in. They originally had stuff schedule out into 2022 with us. Now they're trying to pull it in, we're trying to accommodate them and they're talking about a substantially larger order in the next, what, five months, six months or not for this year necessarily, but for 2022. So I'll have, with a little luck, you'll see a press release on that before we talk again.
Operator: [Operator Instructions] Our next question comes from the line of Dick Ryan with Colliers. Please proceed with your question.
Dick Ryan: Thank you. So Pete, on the earn out that was expected it's under review. It looks like it moved from 10,7 to potentially 7,1. Are there any particular reasons behind that variants, and is there any kind of sense of timing when you might be expecting that to conclude?
Peter Gundermann: Well, we're a little confused but frankly Dick, we got a number with a print out and we basically agreed to it and asked some questions and then we got a lower number in response. So we don't think it's an accounting issue, well I think it's a numbers issue but we're asking those questions. And I guess, I would say that there's two general possible root too, one is we discussed in and resolve it and there are efforts underway to do that and if we do, I would expect it to be resolved over the next quarter, certainly over the next quarter, but there is a potential that it turns into a bigger conflict in that. I don't know what kind of work, but expense into. So it's just too early to say at this point unfortunately.
Operator: Our next question is coming from the line of Ken Herbert with Canaccord Genuity. Please proceed with your question.
Ken Herbert: Pete, on the MAX, you've talked in Third quarters about sort of heading into this year with give or take, sort of 40 to 45-ish or so. Shipsets in inventory and expecting to sort of how that worked down coming out of the second quarter approximately or mid 21. Can you just update us on where you are with sort of the excess inventory in the channel on the MAX and the timing of when you expect to be sort of shipping in accordance with production rates at Boeing?
Peter Gundermann: It's a good question. I don't think we really firmly know the answer, Ken. But I guess, I would give you the observation that the schedule, they've got us shipping to seems to line up pretty well with what other suppliers are saying. So whatever has happened to the inventory that we had built up when we went into 2019, either they are at a level that they're happy with and they're going to maintain that inventory or they whittled it down. Honestly I don't know what the answer is. And it's a little bit of a confusing picture because we put things on the 737 MAX both by direct shipment to Boeing, but also by shipments to wing manufacturers and avionics companies and the rates are not consistent necessarily between those companies. So it's a little hard to keep track of who's got what inventory but I guess I would say that we were at 5 or 6 shipsets a month for the first quarter and we have a pretty firm plans at this point we believe that would have us about 21, 22 a quarter, a month in the fourth quarter and that seems to be pretty consistent with what the world experiencing so we're okay with it.
Ken Herbert: Okay, that's very helpful. And if I could just one final follow-up. Have you seen any incremental softness in the last few months on either your 787 or A350 expected shipments here and schedules for the rest of this year. Are those still sort of running steady with where they were. I know we've had some step down of those programs. But have you seen recently an incremental changes those schedules?
Peter Gundermann: No, we haven't seen anything other than what's kind of out there in the and the either 787 in particular is stepping down the five among in the summer. 350s making a similar kind of move, but it's consistent with what's the general news.
Operator: Thank you. There are no further questions at this time, I would like to turn the call back over to management for any closing remarks.
Peter Gundermann: No closing remarks. Thank you for your interest in Astronics. We look forward to talking to you again in the second quarter, hopefully with the continuing turnaround on the booking side. Thanks for your interest. Have a good day.
Operator: Thank you for your participation. This does conclude today’s teleconference. You may disconnect your lines at this time. Have a great day.